Operator: Good morning. My name is Sylvia, and I will be your conference operator today. At this time, I would like to welcome everyone to Fiera Capital's Earnings Call to discuss Financial Results for the Second Quarter of 2021. All lines have been placed on mute to prevent any background noise. After the speakers' prepared remarks, there will be a question-and-answer period. As a reminder, this conference call is being recorded. [Operator Instructions] Thank you. I will now turn over the conference to Ms. Mariem Elsayed, Director of Investor Relations. Ms. Elsayed, you may begin your conference.
Mariem Elsayed: Thank you, Sylvia. [Foreign Language] Good morning, everyone. [Foreign Language] Welcome to the Fiera Capital conference call to discuss our financial results for the second quarter of 2021. Before we begin, I invite you to download a copy of today's presentation, which can be found in the Investor Relations section of our website at ir.fieracapital.com. Note that comments made on today's call, including replies to certain questions, may deal with forward-looking statements, which are subject to risks and uncertainties that may cause actual results to differ from expectations. I would ask you to take a moment to read the forward-looking statements on Page 2 of the presentation. Turning to Page 3, our speakers today are Mr. Jean-Guy Desjardins, Chairman of the Board and Chief Executive Officer; Mr. Jean-Philippe Lemay, Global President and Chief Operating Officer; and Mr. Lucas Pontillo, Executive Vice President and Global Chief Financial Officer. Turning to Slide 4, I will provide the agenda for today's call. We'll begin by providing highlights from the second quarter. This will be followed by a discussion on AUM and flows, and a business performance update. We will then review our financial and investment performance before concluding with a discussion on our recently announced partnership with StonePine Asset Management. Following our prepared remarks, we will take your question. With that, I will now turn the call over to Jean-Philippe.
Jean-Philippe Lemay: Thank you, Mariem. Good morning, everyone and thank you for joining us. I'm on slide five. Assets under management reached [Technical Difficulty] or 3.8% increase compared to March 31 and a $7.2 billion increase or 4.2% over the last 12-month period. We generated basic adjusted EPS of $0.39 during the second quarter, up from $0.38 in the year ago period. Adjusted EBITDA was $52.7 million for Q2 2021, representing in $0.8 million increase compared to the same period last year. This corresponding margin is also up 31.5% in Q2 of this year compared to 31.1% of last year. Furthermore, when adjusting Q2 of last year for the sales of two private wealth businesses and the rights to manage the Fiera Investments and Fiera Emerging Markets Fund, adjusted EBITDA is up $8.3 million. I am very pleased to share that net organic flows and new subscriptions received during the first half of the year amount to approximately 5.5% in annualized organic revenue growth. And for the last 12-month period, organic flows and subscriptions are amounting to 3.6% annualized organic revenue growth. We continue to execute on our catalyst for growth, growing our distribution capabilities in international markets through our competitive and diversified investment platform and leveraging our global equity and private market capabilities. As for investment performance in our public markets platform, our long-term relative performance remains very strong. On a three-year basis, 96% of our equity assets under management and 97% of our fixed income assets under management have outperformed their respective benchmarks. In private markets, we saw strong positive performance across all our key strategies. We are also seeing positive fundraising momentum across the platform, most notably for our real asset strategies. Complementing our dedication to investment excellence and our focus on growth, as we continue to pursue our objective of building a top tier global asset management firm, are organic initiatives that will help us continue shaping our business for the benefits of our clients. With that effect, during the second quarter, we onboard investment and distribution professionals globally, to continue perfecting our client interaction model. To date, the third quarter has been very active on this front as well. We expanded our agreements with the Canadian Institute of Actuaries to provide discount rate curves under the new IFRS17 standards for use by actuaries to value insurance liability contracts. This builds on the company's existing 10-year partnership with the CIA and which provides the equivalent discount curve for pension plan accounting liability evaluations. These rates are publicly available to all directly on Fiera Capital's website and further establishes Fiera as a thought leader and experts in both the pension and insurance LDI space. Fiera's commitment to ESG and responsible investing is far from new. Since the company was founded in 2003, acting and investing responsibly has been one of our guiding principles. As stewards of capital, we managed assets on behalf of our clients who trust us with great responsibility. Through this important role, we efficiently allocate capital in order to generate long-term positive outcomes that extend well beyond enhancing risk-adjusted returns. As efficient capital allocators advocating for sound governance and ethical business practices from the companies we invest in around the world, we can and must contribute to creating a more sustainable future. It's in that spirit that I'm very pleased to share that last week we issued our 2020 responsible investing report. We also joined the Net Zero Asset Managers initiative, committing to working proactively towards the goal of reaching net zero greenhouse gas emissions by 2050 or sooner and to support broader efforts to limit global warming to 1.5 degrees Celsius. We will be setting an initial target for a portion of our AUM to be managed in line with achieving net zero emissions. We will then be reviewing this target every five years at least with a view of adding more investment strategies until all other firm's AUM are included by 2050. Finally, yesterday, we announced that Fiera Capital established a sub-advisory partnership with StonePine Asset Management, a new firm to be led and controlled by Nadim Rizk, presently the head of Fiera Capital's Montreal-based Global Equity team. This mutually beneficial agreement is the outcome of thorough strategic planning and risk management by Fiera Capital and was designed to preserve the value proposition for our clients and shareholders. Supported by Fiera Capital's institutional quality infrastructure, Nadim's Global Equity Franchise has delivered industry-leading returns since inception in 2009 and together with his team; we've grown AUM organically from $300 million in 2009 to approximately $60 billion, as of June 30 of this year. This new partnership provides for the continuation of this relationship by enabling Fiera Capital clients to continue to benefit from the team's absolute dedication to investment excellence. I will discuss this agreement in more details later on the call. I will now cover AUM on slide six. AUM of 179.5 billion as of June 30, increased by $7.2 billion or 4.2%, compared to June 30 of last year. FX adjusted market appreciation contributed $20.1 billion over the 12-month period, and generated net sales of $2.2 billion during the period. We also began recording AUM for Atlas, the new global equity team we acquired this year, which contributed $0.9 billion as of June 30. These increases were partly offset by the impact of the strategic dispositions of certain operations over the past 12 months. The results of the last 12 months speaks to the post-pandemic value created by our investment teams, collectively they outperformed our benchmarks, adding value for both clients and shareholders. Turning to slide seven for a review of net flows by distribution channel during the second quarter. In institutional, following three consecutive quarters of net organic sales, we had negative net flows of $300 million in Q2. We won new mandates of $1.3 billion during the quarter, marking our third consecutive quarter with over a billion dollars in new mandates in this channel. The mandates won span the range of our asset classes with significant wins in infrastructure and fixed income. These wins were offset by lost mandates and redemptions from existing clients, which totaled $1.6 billion during the quarter. There are a few dynamics at play here. First, as a result of Fiera Capital's expertise in the LDI space, one of our clients redeemed a portion of $300 million of their mandate with us after their fund achieved solvency. This long-standing client had turned to Fiera in 2017 for a bespoke pension LDI mandate using the full spectrum of our public and private investment platforms. This is a concrete example of what we define as a successful investment outcome and the essence of the client interaction model at Fiera, tailoring solutions that meet our client's specific objectives and simultaneously creating value. Other redemptions in the institutional space fall broadly within two categories. The first consists of fixed income assets being redeemed to meet liquidity requirements. The second is a function of portfolio rebalancing, namely clients reducing their exposure to equities in order to comply with their assets allocation constraints, following a run up in global equity markets. In financial intermediaries, we want new mandates across all asset classes, totaling $400 million during the quarter. Existing clients invested an additional $200 million. These were offset by $2 billion in lost mandates, where $1 billion were in parts from scheduled withdrawals from short-term liquidity accounts that came earlier this year. In private wealth, we generated net sales of $200 million in the quarter. We won new-multi asset mandates leveraging the full spectrum of our investment platform, including allocations to private market strategies. Of note, the $200 million in net flows in this distribution channel amounts to an equivalent 9.5% of annualized organic growth only this quarter. When we factor in the impact of net new subscriptions of $0.5 billion in our private markets business during the second quarter, total net organic growth was negative 1.1 billion. However, the AUM number alone doesn't tell the whole story. With Q2 net subscriptions expected to contribute $5.5 million annually in base management fees, totally AUM flows from the second quarter can be expected to add $2.8 million in annualized revenues, which translates into annual organic revenue growth of 2.1%. I will explain on slide eight. Our private markets investment strategies generate multiple revenue streams; base management fees, performance fees and in some cases, transaction and commitment fees. In order for our shareholders to fully appreciate our progress on the organic growth front, we've computed the annual organic revenue impact for the period shown on slide eight by combining the annualized revenue impact from new and lost mandates over a given period, net contributions from existing clients, and anticipated base management fees from clients subscriptions raised in private market strategies. You'll see that the relationship between net AUM flows and net revenue impact is not correlated. As I just mentioned, notwithstanding negative flows of $1.1 billion during the second quarter, we still expect to generate net positive annualized revenues of $2.8 million from these flows. In Q1 of 2021, $3.4 billion of positive subscription adjusted organic AUM growth will be expected to contribute $11.3 million of annual organic revenue growth. Looking at this from a half year perspective, $2.3 billion of net new subscription adjusted AUM is expected to generate $14.2 million in base management fees annually, which translates into an organic growth rate of 5.5%, excluding any market and value-added impact. As of June 30, 2021, the firm's private markets committed un-deployed capital is expected to generate approximately $14 million in base management fee, when looking at it in isolation. These figures exclude any transaction commitment or performance fees the business is likely to realize from committed un-deployed capital. Accordingly, committed capital at June 30 is anticipated to generate one-time transaction fees of approximately $8 million, in addition to the $14 million in base management fee. Of note, performance fees would be over and above this amount. We're very pleased with these results. They demonstrate the investment relevance of our public and private markets platform, our globally integrated distribution capabilities, and our ability to source opportunities across geographies, and channels. Our half year annualized organic revenue growth rate of 5.5% is well above the industry average, testament to the trust of our clients putting us the breadth of our investment offering across both private and public markets strategies, and the dedication to investment excellent of all our investment teams. Turning to slide nine, I'm pleased to provide an update on our investment platform, and how we've been executing on the firm's catalyst for growth outlined on our last call. Our public markets AUM reached $165.5 billion as of June 30, an increase of $6.2 billion from the end of the first quarter. We on-boarded AUM from the Fiera Atlas team whose dedication to investment excellent and outstanding long-term investment track record make them a great cultural fit with the firm. Over the last three years, the team has generated an annualized return of 21.6% and beat its benchmark by an annualized 8.9%. It comes as no surprise that we are already seeing strong momentum and indications of interest by investors and that the $900 million of AUM added during the second quarter exceeds what we had initially anticipated. This strategy remains very much in favor across the globe and we expect to leverage this opportunity with our proven international distribution track record and significant investment capacity. We're very well positioned to replicate prior achievements in the space. In private markets, AUM reached $14 billion, a $400 million increase compared to March 31. We raised $600 million in new subscriptions in Q2, primarily for our realized strategies, and deployed approximately $1 billion into new portfolio investments. We have one of the most diversified private markets investment offerings in Canada, and have several initiatives underway to further expand globally on this already solid platform to improve operating leverage and to proactively distribute our current offering to continue meeting client demand for this category of investment strategies. Deal activity remains strong on our infrastructure and agricultural platforms. We see a number of attractive deployment opportunities that are often exposed to less competitive pressure and allow us to leverage existing expertise. These strategies continue to see strong interest from investors looking to make increased allocation to real assets. In private debt, we continue to see multiple attractive opportunities for capital deployment across the platform. The pipeline for new transactions is strong with a substantial amount of deals lined up to close in the coming months, allowing for the timely deployment of committed capital for our clients. We're excited about the future of our diversified private markets platform which by virtue of the predictability of its returns, lower correlation to equity and fixed income markets, as well as real income and capital protection has demonstrated its resilience during the pandemic. In step with our ambitions of expanding our global reach to clients worldwide, we announced two distribution agreements with well-established local strategic partners in Japan and Australia. Going forward, we will be able to offer our flagship EagleCrest Infrastructure strategy in both of these growth regions, as well as offer our recently acquired Fiera Atlas Global Equity Strategy in Australia and New Zealand, setting the stage for future growth opportunities. Our ability to expand to and in other geographies will be core to our growth story. We always seek the partner with repeatable and well-known local players to match the quality of our investment offering, which is why we selected Mitsui in Japan and our Ironbark ambassador in Australia to be our exclusive distribution partners. We are developing partnerships for both our public and private markets investment strategies. And the continued announcements and rollout of our distribution capabilities are positioning us to leverage untapped opportunities in worldwide markets. Following this line of thought, we welcome Bill Cashel, as Senior Vice President, Global Head of Financial Intermediaries who is based out of our Boston office. As a key member of the global distribution leadership team with a focus across both public and private markets, Bill will spearhead the initiation and growth of relationships in the intermediary channels. Bill has more than 20 years of experience in financial services, along with a highly successful track record. Before joining Fiera Capital, he worked for more than a decade at AQR Capital. By maintaining our focus on these key organic growth catalysts, we will deliver on our plan and ambition of becoming a leading provider of investment services. I will now turn it over to Lucas for a review of our financial performance.
Lucas Pontillo: Thank you, Jean-Philippe, and good morning, everyone. Moving to slide 10. I'm pleased to report that total revenues of $167.4 million for Q2 2021 represent a slight increase of $500,000 compared to Q2 of last year. This is despite the impact of the sale of Fiera Investments in late June 2020, the sale of two private wealth operations in the US and the termination of the CNR revenue sharing arrangement. It's important to note that excluding the impact of these four dispositions, year-over-year revenue would have increased $27.6 million or 20.1%, with normalized revenues increasing from $137 million in Q2 2020 to $164.6 million in Q2 2021. Breaking down the actual results further. Base management fees were 151.8 million for the quarter, compared to 155.9 million during Q2 2020. In the institutional channel, base management fees for the quarter increased $12.5 million, mainly as a result of more favorable asset class mix and AUM growth. As a reminder, the four dispositions did not impact the institutional distribution channel. In the financial intermediaries channel, base management fees were $50.5 million for the quarter, compared to 57.5 million in Q2 2020. Excluding the impact of the dispositions, revenue would have increased in this channel by $4.4 million compared to last year. This was as a result of higher AUM, and higher margin asset classes, notably in small cap equity strategies. Finally, base management fees for private wealth were 22.1 million during the quarter compared to 31.7 million in Q2 2020. Adjusting for the dispositions in the channel, we actually increased revenue by $4.6 million, mainly as a result of organic growth in our Canadian private wealth platform. These results highlight the success we are achieving in our core business and organic growth initiatives by channel. Moving on to performance fees, we generated $5.4 million in performance fees during the second quarter of 2021, a $3.4 million increase compared to the same period last year. The notable increase was mainly from the crystallization of fees with regards to a fund liquidation in public markets and the rollover assets from a closed end fund to an open end fund in private markets. We also recorded $400,000 in share earnings and joint ventures in Q2 2021. This compared to $2.2 million last year. The decrease was mainly driven by the recognition of incremental revenue last year from a specific joint venture project realized by our Fiera UK real estate team. Other revenues of $9.8 million were $3.1 million higher compared to last year. The increase was mostly driven by the higher transaction and commitment fees in private markets investment strategies in Q2 of this year, as well as sub-advisory fees on strategies that we continue to manage for Bel Air and which are now being recorded in other revenues. On a last 12-month basis, total revenues grew by $6.7 million, compared to the last 12-month period ended June 30, 2020. Excluding the dispositions LTM, revenues increased by $60.1 million or 10.6%. We are very pleased with our revenue results for the quarter. They speak to the strong demand for a competitive suite of investment strategies, and the progress we continue to make in further developing our distribution capabilities, as we continue realigning the business within the framework of the global operating model that we introduced last year. Turning to slide 11. Selling, general and administrative expenses were 119.9 million during the second quarter of 2021, a $2.6 million decrease or 2.1% from last year, which includes $20 million of SG&A, related to dispositions in Q2 of 2020. Excluding the impact of these sales, SG&A increased $17.4 million compared to a $27.6 million increase in revenue. Compared to Q1 2021, SG&A decreased $1.5 million, or 1.2%, slightly favorable to an increase in total revenues of 1.1%. Excluding the impact of these dispositions, SG&A would have increased $7 million, compared to a $14.5 million increase in revenue. Turning to slide 12, adjusted net earnings during the current quarter were $41.3 million, compared to $38.7 million a year ago period, an increase of $2.6 million or 6.7%. We recorded net earnings attributable to company shareholders of $13.3 million or $0.13 per share basic and $0.12 per share on a diluted basis during the second quarter of 2021, an increase of $28 million compared to the second quarter of last year, notably due to the recording of a $20.9 million restructuring charge and acquisition-related costs in Q2 2020 in connection with the implementation of the firm's global operating model. The difference between net earnings and adjusted net earnings is explained largely by the amortization and depreciation of $16.5 million, as well as $6 million of restructuring, acquisition and other related costs and 5.2 million of share-based compensation expense for the quarter. Share-based compensation expense was down $2.3 million compared to last year, as a result of higher share-based compensation expense recorded in Q2 of last year, resulting from the accelerated vesting related to employee terminations in connection with the announced operating model changes. This was partially offset by lower expenses in Q2 of this year due to the timing of certain grants. Adjusted EPS was $0.39 in Q2 2021 compared to $0.38 in Q2 of last year. Diluted adjusted EPS for the quarter were $0.36, as a result of the effect of higher diluted weighted average number of shares outstanding. And now on slide 13. We are generating adjusted EBITDA of $52.7 million in the current quarter, compared to 51.9 million in Q2 of last year, an increase of $800,000 or 1.5%. Excluding the impact of the dispositions, adjusted EBITDA during the current period was $50.8 million, an increase of $8.3 million, or 19.4% compared to Q2 of 2020. With regards to the adjusted EBITDA margin, we are very pleased with the strong 31.5% margin realized in Q2 of this year. On the last 12 months basis, we achieved a margin of 30.7% for $214.6 million of adjusted EBITDA. On slide 14, over the last five quarters, we have been consistently reducing our debt while simultaneously improving our operating results, which has allowed us significantly lower our financial leverage. Net debt, which includes our convertible and hybrid instruments, is down $50.1 million, or 8%, reaching 580.5 million as of June 30. Likewise, our funded debt used to compute the funded debt-to-EBITDA ratio, as per out credit facility, is down $64.8 million, or 12.5% over the same period, and now stands at $451.5 million. I'm pleased to report that as of June 30, 2021, our funded debt ratio held at 2.4 times unchanged for the last quarter. And the same is true of our net debt ratio at 3.1 times. This is the lowest level these ratios have been over the last three years, lower than they were prior to competing six acquisitions over the course of 2018 and 2019 and despite the setback from the pandemic in 2020. On to slide 15. In addition to reducing our financial leverage, delivering value to shareholders through optimized capital allocation remains an ongoing priority for Fiera Capital. As such, I'm pleased to announce that we have renewed our Normal Course Issuer Bid. Under the renewed NCIB, the company made purchase for cancellation of the 4 million of its Class A shares from August 16, 2021, up until August 15, 2022. Under the NCIB that expired last month, we purchased close to 900,000 shares for total consideration of $10.1 million, of which $7.1 million was during the first half of 2021. Including the $43.6 million we paid the shareholders during the first six months of the year, this brings total value paid to shareholders to $50.7 million in the first half of 2021. With regard to our cash position, we ended the quarter with $42.7 million in cash and cash equivalents and the Board has once again approved a quarterly dividend of $0.21 per share unchanged from the previous quarter, and payable in September. I will now turn the call back to Jean-Philippe for a review of our investment performance.
Jean-Philippe Lemay: Thank you, Lucas. Onto slide 16. Most of our public market strategies generated alpha during the second quarter, maintaining strong one-year and three-year performance results. Breaking this down further, nearly all of our large cap equity strategies outperformed their respective benchmarks during the second quarter. The Atlas team generated an impressive 5.62% of added return in Q2, and 4.7% over one year. On a three and five year basis, almost all our large cap strategies generated alpha relative to their benchmarks and are all beating the median manager for their respective peer universe. Our US small and mid-cap growth strategy lagged its benchmark during the second quarter by 50 BPs. Though on a one year basis, the strategy continues to outperform its benchmark and has generated a return of 58.2%. The Frontier Markets strategy continued its strong run of performance, generating a 19.1% return in Q2 2021 and outperforming its benchmark by 5%. The strategy bodes strong absolute and relative performance results over the three-year and five-year periods and ranks in the first quartile for both periods. On the fixed income side, all our active universe strategies generated positive value added during the second quarter, and over a one year horizon. Our Specialized Credit strategy ranked first quartile during the quarter outperforming its benchmark as a result of its allocation to credit and more specifically to securitize assets. The strategy also ranks first quartile on a one, two, three, four and five year basis. Turning to slide 17, for a review of our private market strategies. We saw strong performance across all key strategies in private markets during the second quarter. The Canadian and the UK real estate strategies continued to deliver strong performance in Q2 after building momentum in the back half of 2020 and Q1 of 2021, driven by their allocation to industrial and multi-residential sectors, and are expected to continue to demonstrate valuation growth. On the private debt side, our strategy has generated strong returns for the quarter across the board; that is across all regions and collateral types backing the underlying loans. The Infrastructure strategy has remained operational the resilient, the challenges posed by the COVID-19 pandemic, given the construct of the portfolio. The strategy's internal rate of return since inception sits at 8.9%. The Global Agriculture strategy delivered another strong quarter of performance driven by portfolio investments in Australian row cropping assets and by our specialty tree fruit business in Central California. We're very pleased with the work of our teams and with our second quarter results, which are a testament, not only to our strong investment performance, but also our enhanced operating leverage and continued focus on developing our client interaction model. Turning to slide 18, to discuss some advisory partnership with StonePine Asset Management that we announced yesterday. This partnership is the result of thorough strategic planning and risk management by Fiera Capital, following the tremendous success that the team has achieved over the past 12 plus years with the support of Fiera Capital's top tier institutional grade operating model. This partnership was designed with the objective of preserving value for both our clients and our shareholders by reinforcing the interdependence between Fiera Capital and our Montreal-based Global Equity Team that led to such an outstanding success. We believe that this agreement is an excellent outcome for all parties involved and that it is in the best interest of all stakeholders. Under the terms of the agreement, Fiera Capital will continue to maintain direct relationships with clients as the investment manager, while StonePine will provide sub-advisory services overseeing investment decisions with respect to the company's global, EAFE and US equity strategies currently managed by Nadim Rizk and his team. Fiera Capital clients presents the invested in these strategies will remain clients of Fiera Capital and will continue to benefit from the firm's investments thought leadership and its asset management infrastructure including client relationship management, compliance, global trade execution, operations, risk management, performance measurement and reporting services as well as technology support. Preserving our value proposition for our clients and shareholders is of utmost importance to Fiera Capital. And with this agreement, we are confident that this has been effectively maintained, while providing for strong alignment of economic incentives. With strongly aligned incentives, this structure provides for the continuation of a relationship that has created significant value for the company's clients and shareholders for over a decade. I'm on slide 19. This innovative structure was crafted to be mutually beneficial to both StonePine and Fiera Capital, while keeping value preservation for clients and shareholders top of mind. It enables our clients to continue to have access to Nadim's successful strategies as well as Fiera Capital's global platform and suites of public and private markets investment management services. It maintains Fiera Capital's revenue and expense profile under economics terms that are similar to the existing arrangement with the strategies totaling approximately $60 billion as of June 30, while also providing a seamless transition for clients. At the same time, it also provides Nadim and his team with franchise independence. And Fiera Capital will also be providing the StonePine team with separate office space in the same building as our global headquarters in Montreal. We are pleased to have been able to develop a structure that allows Nadim to fulfill his ambition to manage an independent firm, while preserving value for all stakeholders, enabling Fiera Capital to maintain direct relationships with clients and StonePine to provide expert investment services. Going forward with the global EC and US equity strategies currently managed by Nadim and his team being capacity constraint, Fiera Capital would continue to pursue new avenues for growth and continued diversification through complementarity capabilities. Looking ahead, we're focused on driving shareholder value by building on our robust platforms, and asset classes and investment strategies where we see opportunities for growth, including our diversified private markets investment platform, as well as our new Fiera Atlas global equity strategy. We're already seeing strong demand for this strategy as a result of the Fiera Atlas teams' leading performance track record, and I'm confident that Fiera Capital remains well positioned for long-term success. This concludes our prepared remarks. I will now turn the call back to the operator.
Operator: Thank you, sir. [Operator Instructions] The first question will be from Nik Priebe at CIBC. Please go ahead.
Nik Priebe: Okay, thanks. Just had a quick follow up related to the arrangement with Nadim. So one element of the agreement entails the accelerated vesting of some previously earned share-based awards, which should have an incremental impact on compensation expense in the second half of the year. Just wondering if you'd be able to help us kind of quantify what impact that should have, what we should be expecting over the next few quarters here.
Lucas Pontillo: Sure. Rather than giving forward guidance, I can give it to you in historical terms, and that should help you work through it. So, as mentioned in financials, as at Q2, or the end of June, the last 12 months expense related to the team was about $7 million. It's important to note that that cuts across three different programs, the programs last [ph] for three years. So, as a result, given the tenure of the team, you always have a rolling three-year program at this point. So that should give you an indication of, as I say, the historical expense across those three programs for the last 12 months. It is important to note, however, that certainly going forward as older programs would fall off and newer ones would roll on that there would be a tendency for that number to increase. But that also would be subject to certain performance metrics.
Nik Priebe: Okay, I understood then. And just my second question, switching gears, just wondering if you could provide a little additional color on the outlook for net flows? And I recognize that the on-boarding of new mandates can be chunky from quarter to quarter, but in the context of the discussion around performance and the trailing three-year numbers being very strong, have you - are you experiencing a corresponding acceleration in RFP activity or anything that would make you particularly encouraged about the outlook there, going forward?
Jean-Philippe Lemay: Thank you, Nik, for the question. I can attest that currently, the pipeline of short and long listed opportunities is strong. We are in a position right now, where there's - we see this translation as you as you highlighted, and I would say that the north of two-thirds of the current pipeline also is associated with our private markets capabilities. So, that also translates in terms of potential future revenues in a material way. And in terms of RFP activities, we've experienced a very high level of volume comparing to historical standards, over the past six to nine months, as activity picked up as well on the new business development side. So, I mean, I'm refraining from giving you specific numbers here, but I can tell you that the activity right now is quite encouraging.
Nik Priebe: Okay. That's all good. That's it for me. Thanks for taking my questions.
Jean-Philippe Lemay: Thank you, Nick.
Operator: Thank you. Next question will be from Gary Ho at Desjardins Capital Markets. Please go ahead.
Gary Ho: Thanks and good morning. Just going back to the StonePine sub-advisory partnership, I know there are near-term clauses in place, like not a lot of AUM changes expected over the near term. But if you look at more, kind of, three to five years, what gives you comfort there won't be any material redemption risk, specific to the strategy.
Jean-Philippe Lemay: Thank you, Gary, for the question. The way we've structured the agreement is really to incentivize both parties to have the longest possible horizon of this partnership. We're both incentivized to make this work over the long term. We feel that with market returns - just for them from the market return perspective, we feel that there's even still potential natural growth opportunity in that current book of business in either - even if the capacity is constraint at this point, not to mention the other growth opportunities that we have in our other strategies. But we feel confident that this partnership will last for a very long period of time. We have mechanisms in place to incentivize both parties to make it work over the long term.
Gary Ho: Okay. My second question may be for Lucas, just on the restructuring costs in the quarter, 6 million. [indiscernible] given pretty much you moved away from the M&A strategy, didn't think that your Atlas acquisition would incur a large restructuring expense. What's driving that still? And how should we think about the magnitude of this looking out?
Lucas Pontillo: I wouldn't suggest that there'd be anything in there that would be recurring going forward. Like I guess continue to clean up from some of the dispositions that we had added over the last year. And you will recall that I spoke about the last time about the fact that while we did the divestitures, there were still some overhang in terms of overhead that would need to be readjusted, as part of the new operating model, post those divestitures. So, that's really the cleanup you're seeing in Q2.
Gary Ho: Got it. Okay. And then just last question is for Jean-Guy. Thanks for joining the call. I know you're still very active in the day-to-day, any update in terms of succession planning discussions at the board level that you can share and also in relation to your significant ownership in the company? I often get asked that question from investors, so any color on that would be helpful.
Mariem Elsayed: I'm sorry, we are unable to hear you.
Gary Ho: Sorry, asking to me.
Mariem Elsayed: No, to the presenter.
Gary Ho: Okay.
Jean-Philippe Lemay: Maybe Jean-Guy has a connection -
Jean-Guy Desjardins: No, no, no, I am okay.
Jean-Philippe Lemay: Okay. Okay.
Jean-Guy Desjardins: There was a technical problem that I courageously solved here. My answer was, I'm three months closer than I was three months ago, which is not - it's an exact answer, but I'm sure it's not the one you're looking for. So we're into - right now, I will say I am 18 months into a plan that I have agreed with my HR Committee, which is chaired by [indiscernible]. And we have a specific date in mind, but if my HR committee and myself believe that it would be premature right now to announce the specific date of that transition, and the transition is one where I'm obviously retired, retiring, but when we get there, the plan calls for me to continue to act in a different number of functions. Well, first, obviously, as Executive Chairman, where I will be, at that point, passing on my CEO responsibilities. And you've seen that in the past, when somebody is promoted to be President and Chief Operating Officer, normally it is because he's the top candidate to eventually potentially take over the CEO position. So, there's no difference in our pattern than the one that you'll see elsewhere, the most recent being National Bank with Louis, okay. So, when we get there, we will announce it and we're getting closer and closer to that point. But individually or personally, I will continue to assume primarily the investment management responsibilities that I've always maintained throughout my career, which is my responsibility as the tactical asset allocator in the firm for our solutions client and our multi-asset clients, which we do, obviously, and I've always done that quite successfully. On the high net worth side, I always maintain a meaningful number of high net worth clients that I have continued to look after over time, which I will maintain. And preparing for that movement, in my personal responsibilities, I just took over, it is a nice opportunity to talk about it. I just took over the management of three diversified the real asset portfolios within the private market group. So with a team of three people, I now lead the portfolio manager's responsibility of a diversified lending fund for Fiera Capital, a diversified real assets fund, and a diversified real assets real estate fund. So I just took over the responsibility a few months ago of overseeing, leading the management of those strategies, and promoting them and growing them within the private market school. So, that's the update.
Gary Ho: And Jean-Guy, still envision holding your significant ownership in the company after this change? Any early read there?
Jean-Guy Desjardins: Absolutely, absolutely.
Gary Ho: Great. Those are my questions. Thank you.
Operator: Thank you. Next question will be from Geoff Kwan at RBC. Please go ahead.
Geoff Kwan: Hi, good morning. My first question was just going back to slide eight, on the deployment of the committed but un-deployed capital. I recognize it's going to be lumpy in terms of when it actually gets deployed. But just wondering if there's a sense you can give in ballpark timing of when of realizing that kind of 14 million of management fees from that committed, but un-deployed capital?
Lucas Pontillo: Hi. Thanks for that. It ranges by platform. So, we've got a mix in there anywhere from six months to call it five quarters. So, you'd average about a year, less than a year, is what we're looking at in terms of the pipeline.
Geoff Kwan: Okay, great. And just my other question was, I mean, the longer-term fund performance continues to be quite good, but the shorter-term performances seem to slip a little bit this year. Just wondering if there's anything that you would point to that kind of attribute to the performance on the shorter term?
Jean-Philippe Lemay: If there's anything, Geoff, on that front, on the public market side, it is mostly related to the reflationary environment that we are seeing in the market. And that has [indiscernible] back, let's say, for instance, on our Canadian equity strategies, which is a very little exposed to the energy sector, for instance. So I think it's mostly from a - because of the macro context, and not because of any dilution or deterioration in the invest - in the quality of the investment process at this point.
Geoff Kwan: Okay, great. Thank you.
Operator: Thank you. Next question will be from Graham Ryding at TD Securities. Please go ahead.
Graham Ryding: Hi. Good morning. SG&A comments, Lucas, I think you mentioned performance fees, just any color there on what drove the performance fees in the quarter?
Lucas Pontillo: Yeah, so there was, as I mentioned, we had 2.6 million of crystallization during the quarter in two funds, which will not be recurring; one was actually a closure of a fund in the public market side and the other was actually just the transition of assets from an open-ended fund - from a closed-end fund to an open-ended fund, which causes us to crystallize in the quarter. You can consider about 2.6 million as sort of exceptional for the quarter, if you will.
Graham Ryding: Okay, understood. Your update last night regarding the StonePine sub-advisory relationship, it was pretty detailed, so I do appreciate the good disclosure on that front. Just broadly speaking, how do you feel you sort of set up the agreement so that you've protected yourself going forward, from the potential situation of this new asset management firm, taking some of your client relationships and potentially bypassing Fiera in the process? How have you protected yourself on that front?
Jean-Philippe Lemay: Well, maybe I can give some color on that. This agreement has been very well crafted, jointly crafted as well and structured with Nadim over the past few months. We are both in this with a long-term mindset. And maybe, Jean, you can give some further comments around the relationship that we have, we've been developing over the past 12 years. But if I go to the crux of the agreement, the way that the termination provisions are structured, there's a very strong protection, especially if ever in the future, StonePine would want to terminate that agreement, so as I explained this, there's a 12-month notice period that needs to be shared and to be provided by StonePine. But the even more protective measure of the agreement is that following that first 12 months, there will be a 12-month period where StonePine could not contract with the clients that are currently under the sub-advisory structure agreement. And that's on top of non-solicitation clauses as well, that are being provided by StonePine as well upon closing. So, we feel that, while on the one hand, the relationship - I mean, Jean, you can comment on that, but from a legal standpoint as well, like we feel we're well protected as well.
Jean-Guy Desjardins: Well, if I may add a little bit to that, to help you understand where this agreement comes from, we've been - we associated with Nadim 12 years ago, and we started him off with a $300 million. And along the way, I personally developed a very strong personal relationship with him. Nadim many, many times along the way looked at me and told me, I was a second dad. And he happens to be very, very close to his family, his dad and mother live in Beirut, and his background to all that. And on occasions, especially one occasion, I was invited by Nadim and his wife to join his mother and father at dinner, at his place, in Montreal, where his parents were visiting. And his mom cooked traditional Lebanese dinner, which I wish everybody had the experience to have at least once in his life and long, long conversations and personal connection, which I had with Nadim but I also had for his father. And the background to what's happening today, it is important to understand why this is happening. Because along the way, every time we had - I had always - me who had discussions with Nadim about his business, about the financial sharing of the book of business, which came on the table every 18 months, 24 months as the business was growing, which is normal, which we negotiated along the way, and we are where we are there on the economics of it. But all along, he kept telling me that he was haunted by his desire to prove to himself that he could be in business on his own. And I - going back to the summer of 2020, within Fiera, we knew, and I think our outside shareholders knew that as well that we had there a big franchise, $60 billion of assets under management, and that unknown - everybody knew that Nadim had this deep desire, before retiring, proving to himself that he would have a business of his own, that was a risk factor important. That was an important risk factor for Fiera. And internally, between ourselves, VP Gabriel, Lucas, and myself, we were - and John Valentini who was a member - members of my executive committee, we were constantly, constantly worried, preoccupied, thinking about what if Nadim decides to leave and in the process destroyed part of the economic value of that franchise, obviously, but could he do it. And I personally had a view on it. Other people had another view on it. But we were constantly living with that uncertainty, which was a significant risk factor for the organization and we decided last summer that we will deal with it. And that dealing with it implied, obviously, approaching Nadim. And I approached him and I said, you know Nadim, there's one - if somebody understands you and your desire to be on business on your own, it's me, I share that 300% because I've done that three times in my life. I've created three businesses, so I respect that. So why don't we try to work together to put, to create a situation where you will satisfy this need of yours that I understand 100%, okay, so that you can be super happy in your new life as an entrepreneur running your business, but as long as, at the same time, you accept to respect the economics that are underlying what we've built together, which is your share and our share, and that you respect the concept of a long-term partnership and a long-term relationship that we would maintain. But that gives you at the same time, the opportunity to grow your business outside those three investment strategies that we've built together. So if you have a - if you want to create a global small cap strategy and you can put together a three, four or five year track record, and you are very successful in building a global small cap strategy, great, fantastic. In fact, I'll be more than happy to help you succeed in developing and be very successful guy in building new strategies. And in fact, we'll support you, okay. That's why not, we're interested in seeing you have the greatest possible success. But fundamentally, as long as you respect the principle that what we've built together, we co-own that, which we share and it's important to respect the fundamental economics that we have in that venture between you and us today. And that was the fundamental principle. And from then on, it took us basically 18 months to put together the agreement that we have today. And I think, well, Nadim is very happy about it and we're very happy about it, because we've achieved what we were aiming to achieve. One, we have de-risked for Fiera and Fiera shareholders the risk that Nadim and his team would decide to move on their own, obviously destroys some of the fundamental value of that franchise, but be willing to pay that price in order to be on their own independently, okay. And that was a big risk for the firm and we've - now it's gone, that risk has gone. So, now it's a question of making sure that the operating of that new relationship is seamless, that it's smooth and continues to be in a friendly environment with the relationship that we've had with Nadim in the past, and that hopefully we will, obviously, try to carry on in the future. I call Nadim - we had a Board meeting yesterday, we approved it. First thing I did is I called up Nadim and I told him, Nadim, congratulations. I'm happy for you. I'm happy for Fiera. The Board approved it and we're moving on to the next step in your life and our lives, and let's make it a big success again, okay. That was the attitude and that's the relationship we have. So that's all - I'm sorry, it's long and I think there is all sorts of stuff here. But I think it's important for you people to understand where it's coming from, okay.
Graham Ryding: Thank you for the detailed response. [indiscernible].
Operator: Thank you. Next question will be from Scott Chan at Canaccord Genuity. Please go ahead.
Scott Chan: Good morning. So on the sub-advisory partnership, is there a certain duration to this agreement? And could there be amendments to the current clauses that you kind of put forth today or yesterday?
Jean-Philippe Lemay: Scott, thank you for the question. The first part is that we've purposely structured the agreement with indefinite term, indefinite duration, in the spirit of wanting this to be as long as possible but at the same time governed with a termination optionality that I've discussed already earlier in the call. And the agreement has been so well thought through with the over many months, as Jean-Guy highlighted it, that we have not included any mechanisms for amendments or changes in the in the agreement at this point.
Scott Chan: And we talk about, like the Fiera, the economic stays similar for revenue and expenses, but the expenses will be different in terms of the sub-advisory for this year based compensation. Can you quantify in 2022, what you see that impact being to adjusted EBITDA and adjusted net income?
Lucas Pontillo: No, so I won't quantify in terms of forward looking because, again, it depends on different factors, but I can give you on a historical LTM, and that should help you kind of work the numbers to be clear that the current compensation arrangement is a base compensation arrangement plus a share-based compensation arrangement. By virtue of our non-IFRS measures, you'll know that share-based compensation is excluded from our calculation of adjusted EBITDA and adjusted net earnings. Therefore, on a go-forward basis, when we now roll this into a sub-advisory expense, so the two components now become one in the net total sub-advisory expense, to the same order of magnitude and quantum in terms of economics. However, the accounting changes, if you will, with regard to that above the line shift for that share-based compensation portion. On a last 12-month basis, the expense for the team has run at about $7 million. And we need to keep in mind that these are three-year vesting programs, and given the tenure of the team, there's always an effectively three outstanding cycles that are rolling at the same time. So that should give you an idea about how to think about that going forward. And as I say, obviously, the older vintages have a lower waiting - have a lower amount on them and the higher amounts, so that 7 million represents about an average of where that program is running right now.
Scott Chan: Okay. And on the Atlas, the new strategy is that added 0.9 billion in the quarter. I noticed when you announced that it was 0.5 billion and you kind of talked about the massive opportunity to increase capacity and relative fund performance in Q2 was robust and I see that medium terms as well. What what's the strategy there, I guess, initially? And how do we think about that going forward? Is it catered more to institutional right now? And then is there the plan to offer this kind of on the retail side, at some point as well?
Jean-Philippe Lemay: Thank you for that. The strategy - the distribution strategy for the Global Equity Atlas team is relevant across our channels. The institutional quality investment process that they are bringing to the firm, is obviously, very much - cater very much to institutional. And we've demonstrated a great track record in terms of raising assets in the space in Canada and the US, and even in internationally. Financial intermediary, it's our way to access retail. And there's a ton of opportunities, both north and south of the frontier. And you mentioned that the 400 million delta from what we purchased and now what is sitting at actually comes and most of it comes from financial intermediary relationships in the UK. And obviously, as we continue to grow, we've demonstrated a great organic [indiscernible] private wealth, that's also very much relevant as an addition in our multi-asset solution for our high net worth clients. So really, we see that strategy applicable and it's one of those, right, it's not all of our strategies are like that, but especially in that one, they are extremely relevant for all our channels. And given the nature of where the capital is deployed, it is a global equity strategy. It's also very much relevant for all - for clients in all regions of the world. I can also speak in terms of addressing for more foreign markets. And I spoke in my prepared remarks about the distribution agreement in Australia and New Zealand, especially geared towards intermediaries and institutional for that particular team. And again, that's one way that we are planning to accelerate growth in international markets. So, that's one of those right, that's relevant across the platform, across channels and across regions.
Scott Chan: Is it just the one global equity strategy that they have right now? Is there opportunity to launch like additional strategies?
Jean-Philippe Lemay: The team is working on launching at the beginning of Q4, end of Q3, a US version of it. At this point that's the second strategy they want, we're going to launch with them. And that's, the plan for now.
Scott Chan: Got it. Thank you very much.
Operator: Thank you. Next question will be from Aria Samarzadeh at Barclays. Please go ahead.
Aria Samarzadeh: Thank you. Good morning.
Jean-Philippe Lemay: Good morning.
Aria Samarzadeh: Just wondering if you guys can give us an update on the progress for the new global operating model, in terms of how much savings were achieved this quarter. I know it's something that you guys were disclosing in the past. And are you still anticipating these savings to start hitting the bottom line this year?
Lucas Pontillo: Sure. So I think, as I mentioned last quarter, the trend has been consistent. We did realize $5 million of savings, in terms of run rate savings. We have been redeploying those savings into other areas, particularly in distribution, as you would have noted we just - we made some announcements in, particularly, the financial intermediary channel. So, again, it was one of those where we say we've achieved the savings, but we've also been cognizant to reinvest for growth going forward. And I think we've highlighted a few examples already over the first two quarters as to where some of those priorities have been.
Aria Samarzadeh: Okay, thank you. Now, previously, you were saying that you do expect - the timing was uncertain, but you did anticipate that the savings to start flowing through the bottom line and not be reinvested? Are you still anticipating that or do you believe that they're going to continue to be redeployed, moving forward?
Lucas Pontillo: I think we're in the process of looking at all of that. We see tremendous opportunity with our private alternatives and private markets, asset classes at this point from a distribution perspective. I think we've talked about the commitment and un-deployed capital. And, it's one of those areas where we think we see tremendous opportunity. We've got a great platform of well-performing products in private markets, and it's really about being able to support the distribution infrastructure to get them out there. And so the view there is that it's a dollar invested today for higher return tomorrow in terms of being able to get those out to the clients in our global model. So, that really is the plan at this point.
Aria Samarzadeh: Thanks for the color.
Operator: Thank you. [Operator Instructions] And your next question is from Jaeme Gloyn at National Bank. Please go ahead.
Jaeme Gloyn: Yeah, thanks. Good morning, just want to get through a couple of cleanup questions. First off, on the accelerated share-based compensation related to Nadim's agreements, will that accelerated share-based comp get adjusted out of the EBITDA when that occurs?
Lucas Pontillo: No, I mean, it'll be transparent enough. However, going forward, in terms of - I mean, obviously, we're going to see a spike, whether it goes through in Q3 or Q4, or even into Q1 of next year, and at which point, we'll obviously comment on the reason for the increase, which will have been the acceleration.
Jaeme Gloyn: Okay, got it. And then, just going through some of the line items there. I understood there was 2.6 million of, let's say, one- timely [ph] items in performance fee income this quarter. Is there anything within the other revenues line that you would suggest is one-timely?
Lucas Pontillo: No, I'm just to be clear, on the performance fees, also, I think one of them related to the fund closure itself, that would sort of be the one-time crystallization, if you will. On the private markets fund, it was about a million dollars of that, that effectively now is just the fund structure itself has changed. So, we would expect that, that continue going forward. It was just the question of crystallization upon the actual transaction itself in terms of changing fund vehicles. In terms of any other one-time items, no, there's nothing one-time otherwise in other revenue. What is new, however, is I think I mentioned there's about 2.7 million related to sub-advisory fees for Bel Air. So we continue to sub-advise to Hightower Group post that disposition. They were very happy with the investment strategies offered there. So, we're continuing to offer that and that now was making its way through other revenue. Previously, that would have been included in our private wealth revenue line item and at this point, it's being picked up in other revenue, but I would not categorize it as a one-timely.
Jaeme Gloyn: Right. And is that indicative of a typical quarter or like, for example, the 2.7 million, we would expect that to repeat and potentially grow up in the space and future quarters?
Lucas Pontillo: Correct. Correct.
Jaeme Gloyn: And then same type of question for SG&A. Are you able to quantify the benefits from, let's say, reduced expenses as a result of COVID operating environment? And then anything else one-timely in the SG&A number?
Lucas Pontillo: Yeah, I wouldn't say anything really one-time, it's just more - travel and marketing continues to be an area where we're not spending it at the level that we would like just because of travel restrictions, so that area remains lower than normal, if you will. And we probably benefited from a, call it, anywhere from a from a 0.5 million to 0.75 quarter million benefit for the quarter relative to that, compared to historical levels. And that's really the only area where we're still not spending sort of pre-COVID levels, if you will.
Jaeme Gloyn: Okay, great, solid results. Thank you.
Operator: Thank you. There are no further questions at this time. Ms. Elsayed, I turn the call back over to you.
Mariem Elsayed: Thank you, operator. That concludes today's call. Thank you, everyone for joining us.
Operator: Thank you. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your lines. Enjoy the rest of your day.